Operator: Ladies and gentlemen, welcome to the Heidelberg Materials Full Year Results 2025 Conference Call. I'm Sergen, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Christoph Beumelburg. Please go ahead, sir.
Christoph Beumelburg: Thank you, operator. Good morning, good afternoon, good evening to everyone listening into our Full Year 2025 Conference Call. Thanks for dialing in. As usual, we have Dominik and René with us, CEO and CFO plus the IR team in the room. We have some prepared remarks. We're going to go through them relatively quickly and then take the time for your questions. Over to you, Dominik.
Dominik von Achten: Chris, thanks a lot. Hello, everybody. Sunshine in Heidelberg, 20 degrees. That's a good time to have a conference call, great setting. Welcome. Let's go into the summary first page. Very good year for us, yet another record year. I think all the key metrics is go in the right direction. RCO reached a new record high at EUR 3.4 billion. EBITDA margin up important for us. You know that we are very focused on improving the structural profitability, up to almost 22%, also driven by a great success on the Transformation Accelerator initiative that has already encountered EUR 380 million of savings. Remember, the saving target is down the road, EUR 500 million by end of this year. I remember very well our Q3 conference call. Here you go. European margins increased to 20.5%. So very good performance out of Europe, especially also in Q4. So I think a fantastic entry point going into 2026. Free cash flow, René will further go into at a strong level of EUR 2.1 billion, leverage stable at around 1.2x. What is very good now is the ROIC that has surpassed comfortably the 10% mark. So 10.4%, I think, is the highest we had ever had. And it's really well on track to our midterm guidance from the capital markets where we said we go up to 12%. Shareholder return, up 10%, so even more than the profitability increase with a combination of progressive dividend and share buybacks, EUR 1.1 billion. The second tranche has been done and the acquired shares have been canceled. We are really continuing to make the difference, not only because we are the only global ones, not only because we are the heavy building materials guys, but also because we now turn this into superior differentiating products. evoZero hits the market as the world's first carbon captured near-zero cement and the first customers are happily using it. And then last but not least, importantly, the outlook for this year, we are optimistic. We are going to increase our result with a range that you know from us is always cautious at the beginning of the year, EUR 3.4 billion to EUR 3.75 billion. ROIC, again, above 10% and the CO2 emissions continue to decline. With that, I think the next page is basically just repeating what I just said. I think we don't need to go through that other than it's green on basically all dimensions and the adjusted EPS has also gone up. René will talk to you that in a minute. So overall, I think a strong performance. René, do you want to say something on the transaction in Australia?
René Aldach: Thanks, Dominik. Hello, everyone, from my side. You've seen 3 weeks ago, we have announced that we signed an agreement that we want to take over the construction materials segment of the Maas Group in Australia. And here, you see some numbers. It's 40 aggregate quarries, and you can read it there. They have released their results and it's a listed company. So it's 7 million to 8 million tonnes of aggregates, it's [ 1 million ] cubes of concrete and has asphalt and the recycling operations that complements our footprint on the East Coast very nicely. And important is to say that we stay in our strict financial framework. You see it the transaction value is AUD 1.7 billion. And after synergies, the multiple is 8.4x, which fits to our, let's say, targets, what we have guided for. And you have seen probably 2 days ago, Maas announced their H1 results. We have put it here on the chart, and the revenue is up 43% and the EBITDA increased by 36%, which is on track to what we have assumed even slightly better. So you see there's good potential in that acquisition. So the only one is -- what we need now is authorities from the regulators, which will come probably towards Q3, hopefully, and then we see how that goes. Dominik, over to you.
Dominik von Achten: Thanks, René. On the back of that, Page 5, I think we need to pause here for a moment because I think this is a super important slide, underpinning strongly the 7% to 10% growth target we gave midterm on RCO, where does it come from? Organic and acquisitions side by side. On the left side, you see the organic development, and we really have to take a couple of seconds here to digest this. 2022 versus 2025, the RCO went from EUR 2.5 billion to EUR 3.4 billion. I would say -- sorry, guys, [Foreign Language] that's not a bad track record. It is solely driven by the triangle management of price costs that includes both fixed and variable costs and some M&A. So a good contribution, strong contribution from that end. But then you go back left to the volume side and with the decline of the volumes in the past couple of years, we got a headwind of EUR 1 billion result, EUR 1 billion result just driven by volume decline. Now statistically, I said it this morning in the press conference here, statistically, after 4 years of volume decline, we are coming nearer to the point where this will turn, and I will give you some further indications down the road. Now you can make the calculation yourself. If this only turns slightly, on the much better cost base. I tell you, we're going to have some fund when it comes down to the RCO development. So that's just the organic side. And then you put -- you complement it with the acquisition side that goes on top of it. We've not been sitting on our hands, but we told you we're going to accelerate. And René just showed you how we are accelerating already at the beginning of 2026 with a focus on all our key markets: North America, Australia, Morocco, Tanzania, Southeast Asia and also Europe, including the recycling piece. So every market is now really focused on a very strong M&A pipeline. The pipeline is clearly full, and you should see more M&A as we go through 2026, more than in 2025. Then Transformation Accelerator initiative. I mentioned it already. We said, I think, in earlier calls, it's going to be backloaded 40-60 between '25 and '26 and look what we have done. It's been front-loaded quite significantly with a significant impact positively on the savings side. René will give you the impact that it also has on other financial metrics later on. But I think the EUR 380 million are really strong. So from my seat, I am very convinced that we will surpass -- we'll surpass the EUR 500 million when it comes to the end of this year. So from my understanding, there is clear upside on the TAI savings. If you go to decarbonization, I think we are trying to stay on the floor and we're trying to be modest. But I think it's fair to say all the numbers that we've seen so far, we are now the clear leader, the clear leader in decarbonization of the traditional levers long before we even come to carbon capture and storage. So on net CO2 emissions, on alternative fuels, on clinker incorporation, on sustainable revenues, it's hard to beat us. So I think all are moving in the right direction. And look at the jump down on alternative fuel rates, 300 basis points in just 1 year, guys. I think this is a very strong track record that would eventually also turn into superior results. Talking about sustainability, I think it's clear that we want to make the difference on the back of this on the product side. In the end, every technology is only as good as it turns into an advantage for our customers. So we are very focused on selling at the very interesting margins, both evoZero and evoBuild's, including evoBuild carbon capture to make sure that we carry the technical advantages that we have built also to the P&Ls of our customers and to the advantage of our customers. We are going to build out our near-zero leadership through CCS. We have done Brevik. Technically, it's running, CO2 gets captured. The product is in the market. Padeswood is the one that we have now kicked off. We are going to continue to push Padeswood. And you know that we have gotten the funding for other projects in the EU, but the framework needs to still be adjusted in order for us to FID any of these projects. I'm sure we'll come back to that point later on in your question. Now what is important for me to understand, when you think about Heidelberg Materials, it's not just about CCS. Sometimes I have -- when I get some of your feedback, everybody says, hey, yes, yes, it's CCS, but the rest. Sorry, guys. CCS is well marketed. That's clear, and it's important for us for the future. It's the proof point that we get to near zero and net zero on concrete side, absolutely. But Heidelberg is not built on CCS only. As I showed you, it's built on a very solid decarbonization piece, and it's built on a very strong and ever being stronger digital automation and AI piece. And I just brought you this one example on autonomous trucks. I think we've shared with some of you already directly, and that is really now getting into being scaled up. We've done -- completed the pilot -- before end of 2025, we have completed a 2 million tonne haul package in our Bridgeport -- Lake Bridgeport quarry. And from there, we expect significant savings out of this. This is not Mickey Mouse, guys. This is a huge addressable cost base when we talk about both CapEx and OpEx. Buying these trucks is very costly, operating them is very costly also because you need drivers and not only 1 driver, you typically need 2 or 3 drivers if you run on a 3 shift system. And that means significant staff cost savings, significant savings on fuel and tires, significant savings on repair and maintenance costs and by the way, also better productivity levels. If you put that all together, this has fantastic paybacks below 2 years. There's not a lot of projects where you can get 2 years. And again, very same mindset like in decarbonization. We do these things to bring it down to the bottom line. If it doesn't create value, we don't touch it. Don't assume that we are just investing into these things to make a big marketing space about it. No, we make this to increase our margins to accelerate our growth. And here is a good example. I could give you 10 more. You followed also the partnership setup that we have created to also switch the industry into the cloud and to move the industry. So along beyond Heidelberg Materials into the cloud, with a partnership ecosystem setup between Command Alkon, Giatec, Pathways and C60. That one is really going well. And with that, both using that setup internally and also for third parties, the drivers are clear. We want to increase the stickiness for our customers. We want to boost their and our revenue and margins with that setup. We want to really accelerate our evoZero and evoBuild sales by combining it with a very robust digital process. And obviously, we'll also use it to automate the EPD. So you don't get it only once a year, but you get it basically real time. Again, here only a couple of examples. On the operational side of things, I think important to note that Q4 was a good Q4, especially when it comes to EBITDA, EBITDA margins and RCO. I think strong exit point out of 2025 going into 2026. Of course, there is winter here and there. So I think it's fair to say that in Europe and also in the U.S., you saw the Blizzard in New York during this week. There is a little bit in these small months and small quarters, there is always the risk of winter. And once things are frozen today, 20 degrees, as I said, sunshine in Heidelberg, so we are moving in the right direction. If you go to the full year, I think we've shared with you the results. I think for me, that's okay. Let's go to the bridge on Page 14 and 15, you see that the picture that we've seen for a while has not fundamentally changed. We have -- we see good price over cost, positive price over cost even stronger than in Q3, I think. So Q4 had a better price over cost development than Q3. So you see the structural advantage of Q4, but a big volume hit again. So to my earlier remark, if that only turns flat basically, that would be a significant advantage. If you go to the same page on Page 15, for the full year, you see that price over cost is very positive, still a hit on the net volume side. But also to the very right, you see some good contributions from M&A now kicking in EUR 65 million. So I think that's good. Then if you go to Europe, I think Europe, convincing performance. And again, remember, in Q3, we had a little bit of a question and answer in TikTok around what's going on in Europe. And René and I told you hold your breath, guys from one quarter to the other, we said there were some extraordinary shifts over the quarter border line. So here we go. So I think Europe, despite s***** weather, sorry, despite s***** weather, especially in December, I think Europe pulled off a very strong performance in Q4, and we are moving in the right direction, both in terms of EBITDA, but also in terms of EBITDA margin and by the way, across all 3 business lines. North America, I think overall, okay, but I wouldn't say something to celebrate too much. I think there is upside in North America. From my seat, I think we are working well on the EBITDA. I think that's okay, especially if you take the weather effect into account because remember, our footprint is quite northern. So it's -- we have a big footprint in the Northeast, Midwest, including Canada and in the Northwest. And that's obviously in winter always a little bit. So Q4 and Q1 for us is always in North America is a little bit volatile. But I think on the EBITDA margin side on aggregates, a good performance, I think 33.3%. I would say there is still upside on cement and ready-mix as we go into 2026. And the team has fully understood this as we have obviously discussed this internally. Then Asia-Pacific, I think okay, but I would say below my personal ambitions and expectations. I think, René, maybe you say something to Australia in a second. But I think overall, margin moving up, that's good. That's a good sign that the structural profitability is moving. Cost management has been very good despite the markets being really sluggish. China, Hong Kong, Bangladesh, Indonesia, difficult. Thailand and especially India, better volume growth. Malaysia getting better throughout the year. So overall, I think the markets are still somewhat sluggish. Nevertheless, the team has pulled off a good -- very good margin performance. And with that structural profitability, as volumes come back, I think we should see also better result development. Maybe, René, you say something about...
René Aldach: For Australia, Q4, I think, was 10% up in Q4, which was very good and then the full year also up versus prior year, even if we -- even due to the fact that the first 6 months were weak in Australia. So -- but the market is coming back in January, February confirms that the market is improving. So our outlook for Australia should be okay.
Dominik von Achten: Yes. And then what you want me to say, you enjoy this one on your own. What do you want to say? I think a fantastic top line growth in all dimensions in the right direction, EBITDA, RCO, look at the margin level, EBITDA margin in cement, 30%. I leave this for you to enjoy with all the comments.
René Aldach: Africa, Middle East, you're talking?
Dominik von Achten: Sorry, I'm talking about 19, Page 19, Africa, Mediterranean and Western Asia. Okay. With that, René, I'll turn it over to you.
René Aldach: Thanks, Dominik. Let me go on Slide 21. Adjusted earnings per share go up 4% and the adjusted, as you know, we take the AOR out. And in previous -- in prior year '24, we had a EUR 65 million provision release in discontinued operations, which is also is a purely one-off that we have taken out, and that leads to a 4% increase. Free cash flow at EUR 2.1 billion. We come later to that why is this slightly going down. cash conversion at 45%, which we said was the target for '25. Now we've -- in the latest Capital Markets Day, we've moved this to 50%. But I think with that number, we are on track. ROIC 10.4% at record level, as Dominik said, that tells you a little bit that we manage -- the company very -- in a very disciplined way. Leverage at 1.2x, no surprises below our midterm target. And then capital allocation, we said it shareholder return went up 10% and will also further go up in 2026 because we said progressive dividend, plus we have the last tranche of the share buyback. So that will go up further. And then Asment de Témara is closed and Maas, we have signed. So that's just a repetition. Let's go to the next slide, the P&L. As we [indiscernible] have discussed, AOR is EUR 170 million better than last year, but still we have -- we have some impairments -- some restructuring costs in the EUR 264 million. And as we have outlined in the Capital Markets Day, we have the, let's say, European master plan also, and this needs to be prepared. And here, you have numbers in for restructuring and impairment. But the good thing is it's lower than in '24. Financial result, I think very, very, very low for the size of the company, EUR 193 million. I guess that's a best-in-class number. Income taxes go slightly up, and you see our profits go up, so we have to pay taxes. Net result from discontinued operations, that's the minus EUR 80 million, what I said is EUR 65 million in last year. So de facto, it's nearly flat. And then noncontrolling interest, you see is EUR 190 million, that goes EUR 50 million up. Why is this? Because in Africa, we have countries where we don't own 100% like Morocco or Egypt and then here, the minorities go out. So we come to a reported group share profit of EUR 1.94 billion, which is EUR 160 million up. And if you take the one-offs out, let's say, AOR and the big provision release, we go up by EUR 0.50 per share, which is, I think, a very good result. If we go to the next slide to the free cash flow, you see that here, EUR 2.1 billion, EUR 60 million lower. Two major, let's say, items. You see the CapEx goes up by EUR 80 million, and Dominik alluded to that. We have here already some money in Q4 for Padeswood, yes, which is good. Yes, we are building something. That's very good. And you know that we get here also support from the U.K. government. And then another line is here noncash items and other. You see here minus EUR 152 million, and this is due to the fact that we have some cash out from provisions last -- for the restructuring. Last year, we have built up the provision. And this year, we have paid it out. Yes, that's for restructuring. There's some -- obviously some bonuses if the company does record result and there's one-off payments for some litigations. So there's nothing -- we have very good transparency here. Obviously, there's nothing of concern. And you have seen the TAI project, instead of EUR 250 million, we have delivered EUR 380 million that comes obviously with some cost, but we should see some relief here because the big things have been done. If you then go to the next slide, net debt development, you see net debt is going up EUR 400 million. Leverage, I say 1.2x to 1.2x. That's flat. And now did we use the free cash flow, our net growth CapEx of EUR 1.1 billion, which then the biggest one was the giant and Asment de Témara. That's roughly 8 -- EUR 900 million of this or EUR 800 million of this. Dividends, we have increased minorities also share buyback EUR 400 million, so EUR 1.1 billion shareholder return, which is plus 10% and then some other leasing liabilities in there, which we have every year. I think very solid number, EUR 5.7 billion for the company comes to a leverage of 1.2x. If we then come to the next slide, the earnings per share over a longer period, that moves up CAGR 12%. I guess that's a remarkable number. And obviously, the plan for '26 is that this moves further up. And the ROIC now at 10.4%. I alluded to that it's a record number. RCO up, tax rate better, invested capital well managed. So all 3 dimensions very well managed, leading to that number. Dominik, I hand over to you for the outlook.
Dominik von Achten: Thanks, René. Then let me go through the outlook before we come to your questions. Let's go from left to right. So overall, North America, positive outlook as we have good both good volumes and also pricing expectations for North America. Of course, residential is going to continue to stay a little bit soft. But I think data centers but also the real estate sector is coming back when it comes to the commercial real estate sector. So overall, I think a quite positive outlook for North America. Africa, Mediterranean and Western Asia are same thing. We kept it short, intact organic growth, good management performance on pricing and costs should lead to another good year out of AMWA. Europe, I think overall, continues to be strong, especially in Eastern and Southern Europe, but I also do see some light at the end of the tunnel now for this home market here in Germany and also our Northern European market, which is very important for us that it comes back. And hopefully, the same will then happen eventually in Benelux, France and the U.K. Pricing, we have deliberately not put on the slide here in Europe because this is very competitive sensitive. That's why we are staying here very diligent when it comes to competition. Asia Pacific, I think good market momentum in Australia, as you heard from René and some positive development in India, especially on the volume side. Hopefully, Thailand will recover after the election now has been done, was very quiet. I think this should lead to a stable government. And then Indonesia and China will remain probably a little bit challenging as they are trying to find their foothold in the new setup, both in China and in Indonesia. So that's the picture for us, and that then turns into a positive guidance. We are confident on RCO. We'll grow our between EUR 3.4 billion to EUR 3.75 billion, as you know from Heidelberg Materials, both cautious and a larger range at the beginning of the year, and then we'll continue to go through 2026. ROIC, we are confident that we can deliver again above 10%, CO2 emissions should see a further slight reduction on the back of a global leadership already. CapEx, as René was alluding to, slightly higher than in 2025 for the reasons he gave. And then leverage should going to stay around 1.5x, in line with our midterm targets. That's it from our side, and then we'll get to your questions.
Christoph Beumelburg: Thank you. Operator, can you start the QA process, please?
Operator: [Operator Instructions].
Christoph Beumelburg: Okay. So we have quite a few people on the line. So please, as always, restrict your questions to two at a time, if you will. We start with Ben Rada Martin from Goldman Sachs.
Benjamin Rada Martin: My first was just on the 2026 EBIT guidance. I wonder, can you talk through some of your assumptions when it comes to scope and FX? I noted you're talking about a better M&A year in 2026 versus 2025, but just so we understand what's driven by those 2 buckets? And I guess what's organic? And then the second question would just be on the European ETS. I know we've seen a lot of uncertainty in the last few weeks, a range of outcomes. I'd be interested in, I guess, how you internally see the outcomes that are on the table? And I guess, if you're looking to incorporate any flexibility into your European cement planning at all just when it comes to clinker rationalization, any investment? I know there's a lot of things being thrown up at the moment, but it'd be valuable to touch on that topic.
Dominik von Achten: René take the first one, and I'll do the second one, okay?
René Aldach: Ben, it's a déjà vu here for me. Now it's the same first question, I think, last year when we talked about our guidance. Although guys, just for transparency, our guidance includes a 3-digit million negative FX impact, which is roughly 3%. And then the rest, you can do the math. So if we add up organic and scope, we are coming to a growth of roughly 8%, which is fully in line what we told you at the Capital Markets Day. And the scope piece of this is probably rather on the 1.5% to 2% range. So that tells you something. So as Dominik said it, let's see how we come through the year. But I think an 8% growth, not considering FX is a very, very reasonable number. And maybe there's something in it. If it gets better, we have upside here on the [ fixed ] side. If you look at the rates, maybe there's something. And on the scope side, Dominik said it, we want to grow. Maas is obviously not included in that guidance, for example. So I think there is some room if everything goes well.
Dominik von Achten: Okay, René, thanks a lot. And then Ben, on the ETS, we are not the markets, but I can tell you, I'm shaking my head a little bit. I think I really don't understand, quite frankly, what's going on there because for us, to your point, the EU ETS system has been there for 20 years. Do you really believe that's going to get scrapped? forget it. It's never going to happen. Are they going to make some adjustments? Maybe. But guys, just remember, for Heidelberg, you asked about flexibility. Guys, we are daily able to shift between the different gears, and we have proven this for many years now. And I think it's clear to be specific to your point, rationalization of capacity will absolutely continue because we -- with or without CO2, we want to be the cost leader, especially in Europe, but also in other parts of the world. So -- and then you can put the CO2 thing on top, and that may create even more dynamics. But in the end, clear, the rationalization will continue. On the investment side, the general part of the investments, also the traditional decarbonization will absolutely continue, obviously, in line with returns. If we have a decarbonization investment that depends on a CO2 price of EUR 100, and we don't have that CO2 price right now inside, well, then we hold off with that investment, but that's nothing new for us. That's normal day-to-day business. And the same is true for CCS. We always said, we only FID these projects if there is a superior business case. And if the government spread some uncertainty, we just sit on our hands and wait until the framework is in a way that we can use it. And that was the fact in Brevik and that was the fact in Padeswood. That's why we've done those 2. But guess why we have nothing done in Europe yet. Maybe there is not enough stability in the framework and not enough funding from either Europe or the national governments, and then we do not move. That's also why we said in the Capital Markets -- don't get so excited, last year in May. We are the clear CCS leader, CCUS leader. We are going to be that for the next 5 years. There is no rush for us to go into anything crazy. We are going to stay financially disciplined. So I really don't understand all this noise. For me, that's -- I have to smile a little bit. Sorry.
Christoph Beumelburg: The next question comes from Luis Prieto from Kepler Cheuvreux.
Luis Prieto: Two for me today. The first one is how have price increases started this year in the context of declining CO2 allowances? And also regarding this, when do we know more about benchmarks and how the industry is suffering or not? -- from the lower allowances? And the second one, is surpassing the EUR 500 million Transformation Accelerator savings target to an extent included in your current guidance range that you just commented on?
Dominik von Achten: Okay, Luis. Let René take the last one, and I'll take the first two ones. On the price increases, guys, again, calm down. There is no change to what we have told you before. Price increases get implemented across the world. That's also true for Europe. Obviously, as I said, given the winter setup in Q4 and Q1, there is always -- there may be some delay as the business is just not moving at this point. But there is no change in terms of what we want to achieve in terms of pricing, both in Europe and in the U.S. and in other parts of the world. When it comes to the benchmark, Luis, we are not the EU Commission or the EU parliament. You know the time line around this. They are trying to get their arms around this in this quarter or at the latest next quarter, and they will publish a benchmark. There are thousands of rumors around what the benchmark figure will be. Personally -- and this is my personal opinion, don't quote me on this. I do not believe that the benchmark is going to be tightened to the very limit. It's going to be somewhere in the middle between where we are now and where the big speculation was in the past. So I foresee that there may be some relief on the benchmark versus the very extreme approach that was maybe discussed half a year or a year ago. But it's -- sorry, that's the normal that's the normal review process that happens every year, but now everybody gets so excited about it. I don't know what's going on. Every couple of years, you have this review cycle and then they play around with the benchmark and they do a little bit here and there, but that doesn't change anything fundamentally, guys. So that's where we sit on the benchmark discussion.
René Aldach: So Luis, regarding TAI, just one in advance, although you see our TAI numbers clearly in TAI savings in our P&L. We have reduced our fixed costs this year by EUR 40 million reported, even though we have EUR 40 million negative inventory. So like-for-like EUR 80 million reduction. So that tells you that we see the net effect of the TAI in our numbers. So that's number one. Number two, to your question, do we have more than EUR 500 million in our guidance? I would say, obviously, there is a big part in the guidance. But as we have written it on the slide, maybe there's some upside in that number also.
Christoph Beumelburg: Great. Next one comes from Elodie Rall from JPMorgan.
Elodie Rall: My two questions would be, first of all, going back to European cement prices. I just wondered if you could just tell us if the discussions that have taken place or started to take in place on the EU ETS has impacted the outlook at all for you for European cement prices and in particular, the price cost spread that you do expect to generate this year and next year, if there's any change to that in your view? And if the lower carbon price also impacts that? And second, on your guidance, it would be helpful if you can help us understand what takes you to the lower and higher end of the range in terms of pricing, volume or other assumptions that you've made there?
Dominik von Achten: Thanks, Elodie. To your first question, no and no. So no change. And we are fully on track and also know whether there will be an impact to price over cost. From my perspective, no. Clear target will be again to deliver a positive price over cost scenario for 2026. So in both cases, no, no, which means, yes, yes, in the end.
René Aldach: Okay. Regarding the guidance, Elodie, first of all, at the lower end, obviously, Dominik said it, I think we -- and you see it on the slide, we have assumed volume recovery in a few of our areas. And we were sitting here last year, and I said it also for Europe volume recovery for the rest, and it didn't happen, but we still delivered the result. So if the volume recovery does not happen, maybe we come to the lower end of the guidance. But if everything goes to plan, we can be probably a little bit better than the midpoint of the guidance. It's early in the year, I said it. We have some maybe TAI upside, there's FX maybe something, there's scope, maybe something. So this can lead us probably to the upper end to the guidance. I hope that's enough.
Dominik von Achten: Elodie, I hope you see that team gets completely nervous with my no, no and yes, yes. Just to be very clear, what you asked whether there is any change on the pricing targets and the pricing implementation, no. whether there is any negative impact on the price over cost dynamics, no. So that's why I said, yes, yes, because both goes in the right direction in pricing and also in price over cost, just to be clear about it.
Christoph Beumelburg: Next in line is Pujarini Ghosh from Bernstein.
Pujarini Ghosh: So one question is on the margin expectation for -- that's baked into your guidance for 2026. And could you provide a little bit of color around what range of margin expansion you expecting given the very strong margin expansion we saw last year? And then how this splits into maybe the TAI synergies, price cost, operating leverage or deleverage and anything else? And could there be some regional differences? And I think my second question is around, again, going back to the ETS discussion and you've already invested in Brevik and you've started investing in Padeswood as well. And last year, at the CMD, you gave a very good explanation of the excellent profitability and returns from Brevik. But supposing hypothetic -- prices collapse, then could you provide of -- your returns or -- from these plants to like every [ change ] in the carbon prices?
Dominik von Achten: René, maybe you want to start with the margins with the margin question first, and then I'll help a little bit with the EU ETS and maybe René can also add with the financials.
René Aldach: That's a very detailed margin question. I have to say -- so I'll give you a high level what should happen, obviously, what we said as well in the Capital Markets Day for Europe, our margins should move further up. We do the, let's say, the plant optimization. The pricing should be reasonable. And if volumes come back a little bit, that is all obviously contributing to our margin, and you see this also in '25. So that works and should go further up. Then we go to North America. You see we have -- in cement, you have seen the number went slightly down in '25. That should obviously recover because the cement price increase in the U.S. should be more pronounced than we had it in '25. And also on the cost side, the U.S. colleagues have a good -- very good cost target. And in aggregates, there should be decent pricing also. So margins in the U.S. should move further up. And then in Asia or in APAC, the margins are already pretty at the bottom. So -- but that depends on a little bit what does pricing do because cost management is very good. Let's see how that moves in APAC. For sure, Australia margins have to go up due to good cost and good pricing. And then for AMWA, margin is already at 30%. So let's see how we move there. But overall, the sentiment here is also good. So overall, we should see the group margin obviously going up with all the measures we are taking.
Christoph Beumelburg: The next question comes from Tom Zhang from...
Dominik von Achten: Hold on, we haven't answered the EU ETS.
Christoph Beumelburg: Sorry. Sorry. Yes.
Dominik von Achten: So on the EU ETS first of all, there is no sign whatsoever that the demand for our evoBuild carbon capture or evoZero products is collapsing or even the prices collapsing, absolutely not. There is no impact whatsoever, just to be very clear. And I think that answers then also the question, what's your hypothetical approach. For us that hypothesis is not one that we follow at all. And as you know, just as a general remark, our equity in Brevik is very limited. So you should try to get to the downside protection for [indiscernible]. And that's almost what we said. It needs to be a very, very profitable business case and our [ skill ] in the game is not 0, but it is very, very small and reasonable. That's both true for Brevik and Padeswood. So there is no impact for us from that end.
René Aldach: The only -- if I may add, and we discussed it intensively obviously, if the price really drops to EUR 30 to EUR 50, the only thing what we will do then is there will be a very hard review of all the CapEx projects we are doing. New CapEx projects, which are purely based on CO2 prices, we obviously have it very difficult to get approved because the business case just doesn't work. So if at all this happens, then you should see an improvement in our cash flow because the CapEx spending will somehow go down. So that's because for the big projects, we will then put the brakes on. And we said it today morning in the press conference also, uncertainty politically in the political environment is not helping that Heidelberg is speeding up investments. So that's very clear. And if at all, our cash flow would go up.
Christoph Beumelburg: Then Tom Zhang from Barclays.
Tom Zhang: Maybe following on from your point around cash, actually. My first question was just -- you just about hit the cash conversion target for above 45% this year. I understand there was quite a lot of restructuring cash out, could you maybe talk about the phasing of that? Has the cash out for restructuring, are we part of the peak of that? Should that come off in 2026, now that the bulk of Transformation Accelerator has done. And do you have a view around can we get above 45% cash flow conversion next year even though CapEx is going higher? And then the second question is just on your shareholder return policy. I suppose you talked quite a lot about M&A as a use of excess capital. Obviously, with the pullback in your share price, is that -- does that create an opportunity, I suppose, to either pull forward the third tranche, extend the third tranche? Yes, I would be curious of your thoughts on that front.
René Aldach: Okay. Tom, thanks for the two questions. On the first, let's do the shareholder return policy question. We will start the third tranche after the AGM, as we have done the second one, as we have done in 2025. So there's no change. And if you do the math, we announced EUR 1.2 billion for that program, and the third tranche will be the biggest. So that improves, let's say, the -- move the share buyback already up in 2026.
Dominik von Achten: That's an important point. I think it's overlooked a little bit because we are going to stick to the EUR 1.2 billion. And then you can do the math, and you can calculate that the last tranche is deliberately the biggest. So in that respect, I think I'm not sure everybody got that.
René Aldach: Yes, it really EUR 450 million, the third tranche in this year. So that is a good increase. And as we said it also, from a dividend perspective, so progressive. So that means it will go up. So you see -- we'll see nicely increased shareholder return also in 2026. And for now, no change to our return policy. We increased -- we will increase it in '26 and then let's see how the year goes, what we then do the year after. In terms of free cash flow and cash conversion, yes, we reached the 45%. And coming to your question about restructuring and cash out. I would say that we should be near the -- we should have seen the peak. So the number in 2026 should be lower -- materially lower than we have seen in 2025, which should help obviously on the cash conversion. And then we -- as we said it, we want to come closer to the 50%. But also, we do see the U.S. Padeswood in 2026. But you see it in our CapEx numbers, we always stayed below our guidance. And that is a little bit the thing in the CapEx guidance. This year, we have EUR 1.2 billion to EUR 1.3 billion. And if we will be below the EUR 1.3 billion, which we have announced at the Capital Markets Day, there's a well room for the cash conversion, I think we are on track, Tom. There's a big one-off of this restructuring cost this year. So we should be okay in 2026.
Christoph Beumelburg: Next in line is from Ephrem Ravi from Citi Group.
Ephrem Ravi: So 2 quick questions. Firstly, on M&A, you say the pipeline is very full and you seem genuinely excited about it. Just to get to that 1.5x net debt to EBITDA, you're talking about probably about EUR 3.5 billion of cash headroom for acquisitions and you've already spent about EUR 1.3 billion on Maas. So are we looking more like EUR 2.2 billion, EUR 2.3 billion sort of scale of acquisitions? Or are you also looking at acquisitions that may require issuing equity? So just in terms of the scale of that you're looking at. Second question, on your digital investments, obviously, Command Alkon and those. A lot of the software companies or legacy software companies in the market have seen their share prices half or more because AI is going to basically replicate all of that. Do you think you've got the right suite of digital tools for the AI world rather than sort of the legacy software world in terms of your digital strategy?
Dominik von Achten: Ephrem, thanks for the question. On the very first one, 0 equity raise on -- for M&A. Just to be very clear, if there's any speculation on your end, sorry, guys, no equity raise for acquisitions. We never indicated that, and that's clearly off the table. Just to be very clear. René, you want to make and then I'll say something on the digital side.
René Aldach: [indiscernible] Ephrem, your math, I need to understand because you said we have capacity of what EUR 3.5 billion or something. So our free cash flow is -- let's pick a number, what we have this year, EUR 2.1 billion, and then we pay, let's say, EUR 1.1 million, EUR 1.2 million shareholder return, dividends and share buyback. Then there's EUR 1 billion left. And if I want to move the leverage 0.3x up, there's another EUR 1.3 billion to come. So there's EUR 2.4 billion left for M&A. If I do that math, if I want to come to the net debt-to-EBITDA target, yes there will be some EBITDA contribution also. But okay, and the math number, I need to correct, you said EUR 1.3 billion, it's AUD 1.7 billion, which is EUR 950 million. That's the Maas number. And as Dominik said it, we have more capacity to do that. If we spent EUR 1 billion then the leverage would be still below 1.4x. It's the math just right now. And the 1.5x is not a -- it's our midterm target. We can be maybe 1.6x, or we can be 1.2x. So that's our midterm target, which we will keep. But it's very clear we want to grow further, and there will be more M&A to come.
Dominik von Achten: Okay. And then on the digital investments, Ephrem, I think you're right from my perspective, and you see what the capital markets have done in the last couple of weeks on the software side of things. Rest assured, we've taken diligent reviews on exactly that point. And I think from our seat, it's clear that the software world will split a little bit with all that AI discussion into, I would say, the general software companies and those who are deeply intertwined with the workflow end-to-end with your customers and those will rather profit from this whole discussion because we have a vast acceleration of product development and a much higher productivity in terms of coding. So the costs will lower. The time to market will be quicker and you get a very sticky connection in the workflow. So we have done this review also together with our partner, Thoma Bravo, and we have no reason to believe that Command Alkon gets any hit from this. It's probably rather the opposite.
Christoph Beumelburg: The next question comes from Cedar Ekblom from Morgan Stanley.
Cedar Ekblom: 2 questions from me. Can you talk about the North American business. We've now had 4 quarters of consecutive negative organic top line growth. And if I'm assuming that you had a little bit of positive pricing momentum in the fourth quarter, you're looking at sort of high single-digit volume declines across all product categories in North America. So I'd like to get a sense of how we should be thinking about the development in this very important market for you in 2026. Are we actually seeing growth yet at a top line perspective? And then secondly, on M&A, we've obviously debated a lot about the scope for M&A, which sounds very material. It sounds like you guys are really bullish on the growth opportunities. Can you just remind us about how are we thinking around sort of priorities regionally, products, et cetera, that would be helpful.
Dominik von Achten: Yes, thanks a lot. Let me take those 2 questions, and René jump in if you want, on both. So North America top line growth, you're right. Top line was sluggish in North America for a while. I don't think we are on our own. So I think that tells you that the market, especially on the volume side has not been our friend, over the last couple of years, I would even say. I think the other point is that cost management has been good but it needs to be super good because inflation, underlying inflation in North America is still fairly high. So I think there, you have that one element. The relief on the energy cost side in North America, you don't get as much as in other parts of the world. And then last but not least, when it comes to pricing, I think it differs quite market-by-market, quarter-by-quarter. And business line by business line. And as I indicated earlier, if you look to the last couple of quarters, we are not entirely happy with the development on the cement side. I think there was some import pressure historically that I think has balanced out a little bit under the whole tariff discussion we are more optimistic for pricing in cement in the U.S. That's what you saw in the guidance. And obviously, anyway for aggregates. Aggregate pricing performance was actually good. we are -- that's the picture from our side, Cedar. You want to add to that?
René Aldach: Cedar you made the comment, high single-digit volume reduction. That is absolutely not correct. In cement, it's even close to flat, in aggregate is low, low single digit. So that's not correct. I just want to say this because -- and if you look at also the competition, and we went to the transcript like-for-like, we are the only one which is really better than everyone else's Martin, okay, fair enough. But we don't need to hide from the other ones because from a volume perspective, we are not -- we are on par with the other ones.
Cedar Ekblom: Sorry, before we go on to M&A. So in the fourth quarter, you had minus 3.6% like-for-like negative organic at the top line. So if volumes are sort of flattish, that...
René Aldach: It was driven ready mix, ready mix. It was driven by ready mix.
Cedar Ekblom: So we don't have to be worried about pricing trends in cement to pricing in aggregates, we're quite comfortable with those [ futures ].
René Aldach: Exactly. The biggest drop was in ready-mix, Cedar. cem and ag is okay.
Cedar Ekblom: Okay. Great. And then on M&A, some color on targets, priorities, et cetera.
Dominik von Achten: Yes. M&A. I mean, first of all, we want to stick to the core markets that we have announced and that you know very well, we're going to tighten the net. We're going to stick to the business lines that you know. So no endeavor into any other stuff like light side or anything. We're going to stick to the heavy upstream, downstream, that -- what we've always done. And then from a geographic perspective, as you saw on the earlier map, all our core markets on the radar screen and in the pipeline. That's true for North America. It's true for Africa, it's true for Asia, it's true for Australia, and it's true for Europe. So no exclusion from there, it's an opportunity-driven game wherever we have the best opportunity, we will jump, but all pipelines are being filled and compete against each other.
Christoph Beumelburg: Next question comes from Julian Radlinger from UBS.
Julian Radlinger: Yes. So 2 for me as well. So first of all, in Europe, so the European margins in Q4 were really strong, especially in cement. Can you talk about what drove that? In Q3, I remember you had EUR 10 million to EUR 15 million inventory phasing related one-off. Has that reversed now? Is that effect in there? Is there anything else that's kind of one-off, like CO2 allowance sales or anything like that? Is it a result of the transformation program? What drove that strength in Europe, organic EBIT in Q4? And then second question, just to come back to the M&A once more, please. So you said in the opening remarks that you expect more M&A in 2026 than in 2025 based on your pipeline, not that you factored into the guidance, but based on what you're seeing. So in '25, you had EUR 113 million EBIT contribution on -- well, you had [ EUR 115 million ] EBIT contribution. Does that mean you're -- based on your pipeline, you think you could possibly surpass that number in 2026. And then in that context, can you remind us, please, what the multiples were on average that you paid in 2025 and what you would expect for '26?
Dominik von Achten: Okay. I'll have a quiet afternoon for a second. So René, maybe you start with Europe, Q4? And are there any one-offs?
René Aldach: Okay, the Europe, Q4, what I said clearly in the Q3 call, everybody was disappointed of Q3 margins, as I said, guys calm down. It will move into Q4, some phasing effects which we have now the positives in Q4. There's no one-off of CO2 sales or whatever. Why should we sell our valuable certificates. No, we don't. The good thing out of Europe in Q4 was, there was good pricing and very good cost management. So that's in simple terms, that is the answer, and it came out what we said margins in Q4 will be good, and they were good. Number 2...
Dominik von Achten: This is an important point just to add what René was saying. This is TAI. This is the plant adjustments, the capacity adjustments, the FTE reductions, we always said we are going to focus this on Europe. And you see clearly, by the way, our year-over-year global fixed cost has come down in absolute terms. Like-for-like. So I think that is really very strong and a good contribution, stronger contribution came from Europe. And you should expect more as we go along because we are probably going to even accelerate the second wave of the master plan in Europe. So we are on it. And I can tell you there is more to come when it comes to margin expansion in Europe.
René Aldach: And when we come -- talk about M&A. Julian I don't know where you have the numbers on Slide 30, there are the numbers. Scope for 2025 on EBIT RCO level was EUR 65 million, on EBITDA, EUR 115 million -- EUR 113 million. And in the original -- at the beginning, I said our guidance includes 1.5% to 2% RCO scope, which you can do the numbers, it's probably between EUR 50 million and EUR 60 million. And additional scope is dependent when do we close the acquisition. The Maas acquisition is announced. That's great. But it's not in my hands to when we get the regulator approval. So that depends a little bit. So to put now some estimations, I'm reluctant to do because it's not in my hands. We have something in the guidance. And if we do more M&A, and the closing is at the right time, there will be more in there, but I can't tell you how much.
Dominik von Achten: And maybe to your multiples, just a general market, we disclosed the multiple on Maas and I think it's clear we are going to stay very disciplined on the M&A side. We are not going to do a 16, 20, whatever time multiple after synergies. That's crazy guys, we are -- as you saw the math, it's just above 8% for after synergies returns and I think that's clearly the ballpark that we are using to commit or to stick in the framework that we have committed because you know if you go outside of this to make eventually returns on M&A in our industry will be very difficult. And that's why we're going to stay very focused to stay in that ballpark.
Christoph Beumelburg: Next one from Arnaud Lehmann from Bank of America.
Arnaud Lehmann: My first question is about Europe, please. You mentioned your positive outlook for pricing and the fact that price increase are getting implemented. On the other side of that, are there -- is there any cost inflation to consider, we know that French electricity costs could go up? Are there other cost factor that we need to account for? Or do you expect the price increase to flow through in the bottom line? That's my first question. And my second question is coming back on your acquisition strategy. I appreciate you've made some comments, but looking at the business historically, it was U.S., U.S., U.S. We know at one point, maybe you wanted to do larger deals that did not happen. The more recent past, you've clearly focused M&A on you've done smaller deals in Morocco, Indonesia, Australia. I think there was press articles about Turkey recently. I appreciate you've done Giant as well in the U.S. So it's still on the list. But what has changed in your M&A mindset to justify this, let's say, geographic diversification in your M&A strategy?
Dominik von Achten: I'll do the second one and let René do the first one on pricing in Europe.
René Aldach: Regarding Europe, you were asking about cost. Yes, you are right for France, the Arverne electricity support, let's say, is not as cheap anymore has gone and now that hits us with additional cost. That is correct and no news. And then you asked about other costs. Obviously, there is certain inflation on salaries. It's clear there is salary increases for our employees in every country, which is probably or whatever should it be, it's probably 2%, 3% wage increases. And then that's probably the big, let's say, cost movements. On the other side, you Dominik said it also, our wave 2 of our European cement plant optimization, let's say, is coming into play. We have the TAI, we will have the TAI full effect on the cost side also. And then we have the price increases. So overall, as we said it, price over cost for Europe should be okay and positive. And overall, in energy should be roughly flat. Obviously, January, February now was expensive because it was so cold, but the summer will come off again. So overall, for Europe, price over cost should be good and margin should improve.
Dominik von Achten: Okay. And then Arnaud, on the acquisition side, just to sit back, sorry to correct you a little bit, but I can't see that we have lost the focus on U.S. We have done, Giant, massive big acquisition in the Southeast. We've done BURNCO, the assets of BURNCO in the Northwest. So that we are not executing on North American acquisitions, I cannot follow. But it's not like it's U.S., U.S. and U.S. only. Sorry, we are a global company, and we can also create good or even better returns in other parts of the world. And that's why we look at a global picture. And that's why you also see acquisitions in Africa. That's why you see acquisitions in Australia, and that's why you see also acquisitions in Asia and acquisitions in Europe. We always said in our core markets, and obviously, there is not only U.S., U.S., U.S. Plus, I think to be fair, also the U.S. market is challenging in acquisitions. It's very costly. And again, with the rigidity of our financial framework, we want to create the returns. That doesn't mean that we do anything in the U.S. guys. Very clearly, we are very, very focused, and we look at everything that moves in the U.S. market. But we are very diligent about, does it fit to our financial framework. And you should see acquisitions in North America down the road, absolutely. But you should also see acquisitions in other parts of the world as they complement our existing footprint, existing markets, drive good synergies, improve the market position and with that, give us further growth potential organically and obviously, margin potential when it comes to better synergies.
Christoph Beumelburg: The second to last question now comes from Harry Dow from Rothschild & Redburn.
Harry Dow: Just 2 from me. Firstly, maybe if we could just hone a bit back on Europe and recovery and kind of volumes in those comments. I was wondering if you could just give us some more color on what you're seeing on the ground. I think the like-for-like in Q4, I think it was minus 2% at the top line. I suppose it's not signaling any great improvement as of yet. But you sound like you got quite a lot of confidence I suppose that things are turning a corner. So maybe just in some of the core countries, it would be great to hear sort of views on what you're seeing at the start of 2026. And then secondly, just around the comments on changing of clinker ratios and alternative fuels. I think obviously, that's seen as through the great lens of reducing carbon per tonne and overall. But I wonder whether you could comment also on maybe some of the economic benefits of that? I don't know how much some of those lower sort of fossil fuels and lower clinker ratios actually reduce costs, boost margins in your view? And maybe where regionally you see the most opportunity on that? I know the U.S. starts from a high base, but maybe there's more pushback from customers, but anything on the economics of those changes?
Dominik von Achten: Yes, good questions, Harry. Let me just answer both and then Rene chips in if he wants. So on the volume side, in Europe, I think let's go country by country or, let's say, region by region a little bit. Southern Europe, absolute intact, good volume development expectation for 2026. Same is true for Eastern Europe. So that's, I think, one important part of Europe. Then we have, I would say, Germany and Northern Europe. I indicated earlier, I think we do expect recovery in both parts -- of that part of Europe for 2026. Then I think the ones that are lagging a little bit behind are Benelux, France and U.K. Let's wait and see how that volume develops in those markets. But in general, don't forget in Europe also Q4 and Q1 are always winter quarters. This time we had winter. So you will see an interesting dynamic over the years now between the different quarters also in Europe, given the weather impact. And -- but underlyingly, and that's importantly from a market perspective, I think we clearly see positive indications in some of our key markets that things are moving in the right direction. I said it earlier, I think in the Q4, for example, in Germany, we saw that the groundwork has really increased. So those companies who are working on the ground to lay infrastructure and everything, they have really a much better and more healthy order book, and execute that order book. So that should also increase cement and concrete demand down the road. So the early indicators, let alone the permits that are going up on housing and everything. So I think there are some good indications for volume developments in Europe. Nothing is perfect everywhere, but I think those are -- this is the color. And then on clinker incorporation, very interesting question that we have also internally. And I thank you for the question because I think it's important to clarify that again. Yes, we are the decarbonization leader, but we have combined this with superior financial performance guys, which tells you the clear message internally, which I'm happy to share with you. We are doing the decarbonization on equal or better footing financially. If it's worse footing. And for example, for whatever reason, the coal price would drop to minus where it's 10% or 20% cheaper, then we go for coal. Sorry, we are a capital market-oriented company, and we don't throw money out the window if there is an opportunity to make money that sits within our strategy, but short term needs to be sacrificed for operational and financial performance, then we have a clear mindset here to pull that advantage. So there you see also how we play with this to make -- to give -- to create a full picture that you have seen here in the past hour or so.
René Aldach: Just if I may add, just you asked for the economics. As Dominik said it, alternative fuel, what does it do? Two things. In Europe, it is -- overall, it saves everywhere CO2, but in Europe, there is a price behind CO2. So we will save in theory, that price if you are short, you would save to use a part of a certificate, number one. Number two is you replace fossil fuels, which are normally more expensive with a cheaper thing or even in some countries, we get a gate fee, so we will get paid to take alternative fuels. So we have a few plants in the group in Europe where we have positive cost from fuel because the alternative fuel is so high and we get a nice gate fee. Even also in -- I'll give you another example, also in emerging markets, given Indonesia, the example, I think the alternative fuel we are using there is half the price of coal. They're not paying for CO2, fine, but we save 50% of the coal cost. So this makes absolutely sense to use alternative fuel to ramp it up. And this is core DNA. We know what to do, and we can do it. Then clinker incorporation, it's even more pronounced because saving the percentage of clinker incorporation saves between 8 to 10 kilo CO2 per tonne, which is very valuable in the CO2 context, especially in Europe, plus using SCMs to replace the clinker is, let's say, the next cost advantage because the clinker is more -- the clinker burning is the most expensive part of the cement production process. And this you replace with a cheaper product. So it makes all the sense of the world to hammer these 2, let's say, KPIs like crazy, which we have done. You see it, it's moving up, and we are #1 in both of them of the big ones, which publish. So that's for the economics.
Dominik von Achten: And I think to build on what René has said, clinker incorporation next to alternative fuel is a good indication of future structural profitability. Why? If you take out that costly -- capacity like we do in master plan wave 1 and 2, you build your cost position for the future because you get rid of both the most cost intensive, most maintenance intensive and most CO2 emitting part of the -- so it's a whammy in all positive directions, and that's why we are so focused to be the leader here, not only in Europe, but globally. And we do this in a very well-balanced decision-by-decision trade-off between CO2 impact and financial impact to the direct bottom line of the year. So I think that's well understood, Harry.
Christoph Beumelburg: So we got time for one more question that's coming from Isaac Ocio from On Field Investment Research.
Isaac Ocio: Can you hear me?
Dominik von Achten: Yes.
Isaac Ocio: So I have 2. So first of all, any early indications that cement price increases are sticking in both the U.S. and Europe? So in Europe, maybe, are the mid-single-digit increases holding so far? And do you see them supporting margins through the year? And some of your U.S. peers have guided towards low single-digit pricing growth in North America. Are you seeing similar trends? And on the CO2 pricing outlook, so maybe through the 2 scenarios, what would it mean for the long-term CCS strategy and cash generation growth if CO2 prices were closer to EUR 30 to EUR 40 per tonne as recently suggested by President Macron versus the EUR 100 per tonne assumption that was outlined at the Capital Markets Day.
Dominik von Achten: Let me do the first and then Rene does the second. So no early indication of any changes. As I said before, pricing both in U.S. and Europe are moving in the targeted direction. We are not looking left or right. We take our independent pricing decision, both in North America, and we've indicated that we are clearly moving pricing ahead in all key areas and all product lines in North America. And the same is true for Europe. And as you know from the past discussions, we try to get out of the gate on as early as even possible. Obviously, with the winter, this may shift a little bit back and forth. But overall, there is no change to the original plan, and we continue to execute on pricing as we really have a value before volume strategy, that has not changed.
René Aldach: And then for the second question, I guess we've answered this already, but let's do it again. if the CO2 price goes to EUR 30, there's no business case for CCUS plant. So that's what Dominik and I said the whole time. We do it only if there's a financially valid good business case, and you can do the math by yourself with EUR 30 CO2, there's no good business case. So I think that answers the question.
Christoph Beumelburg: So let's close this call. Thanks for your good questions. Just to remind everyone, we are going to be on the road together with management, and I'm on IR. Next week, we are going to go to the West Coast in the U.S. and to the East Coast. Then we're in London, Frankfurt and Paris with Rene and Dominik, we are in London again at the BNP conference, and we also hit Vienna, Zurich and Geneva. So if you want to see us, please let us know. And with that, have a nice day.
Dominik von Achten: Thanks for joining.
René Aldach: Thanks everyone, thank you.
Operator: Ladies and gentlemen, the conference is now over. You may now disconnect your lines. Goodbye.